Operator: Good day, and thank you for standing by. Welcome to the Capgemini Q1 2023 Revenues Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Aiman Ezzat, CEO. Sir, please go ahead.
Aiman Ezzat: Thank you. Good morning, and thank you for joining for this Q1 revenue call. I'm joined today by Carole Ferrand and Olivier Sevillia. So we had a very good start to 2023. It came above our expectation. This quarter once again illustrates that we have structurally raised our growth profile and that we continue to gain market share. The group revenues reached EUR 5.729 billion in the first quarter, up an impressive 10.7% year-on-year in constant currency. This is the eighth consecutive quarter of double-digit organic growth. At EUR 5.9 billion, bookings were up 6.5% year-on-year on a constant currency basis, leading to a book-to-bill of 1.02 with both our historical average for Q1. These numbers demonstrate the agility and resilience of our business model and the relevance of our strategy and market positioning. Our clients are entrusting us with their most complex business and technological transformation projects. We are positioned as strategic partners in their transition to a digital and sustainable economy. If the economic environment remains tense, the trends observed in Q1 are fully consistent with the deceleration scenario we had anticipated for 2023 even if Q1 is better than expected. The sector trends are in line with what we discussed at the beginning of the year. The manufacturing and public sector demonstrates stronger resilience. Manufacturing is up 17% and traction is visible across the board. Our leadership and investment in intelligent industry is paying off. As previously discussed, we continue to witness a wait-and-see attitude at some clients. Now this is visible in the retail and TMT sectors that are decelerating more rapidly. The surprise came from Financial Service, which hasn't slowed down yet with a 9% growth in the first quarter. From a geographic perspective, there is more resilience in Europe with a solid double-digit growth. However, in North America, with a less favorable mix, the growth was lower at 6.1% at constant exchange rates. All group businesses delivered a good top line progression, and I'm particularly pleased to continue to seize the momentum in Strategy & Transformation with 16% growth. It's another illustration of the relevance of our strategy and market positioning. It also reflects the priority given by group clients to the strategic digital transformation projects. Now Q1 was also another strong quarter for emblematic wins. Thanks to the investment in capabilities and solutions, the group is able to capture the structural acceleration in client demand for digital transformation even in the current environment. We are helping our clients to lay the foundation of their most ambitious transformation, seat at the top exec level, and at the heart of their business opportunities. Our wins are covering all the dimensions of our strategic framework, we are able to offer the business and technology solutions that match our client's needs with an end-to-end value proposition from engineering to IT through strategy and digital. So let me put it in context by taking 2 examples. First for ACC, to provide green batteries for Europe for the auto industry, automotive sales company, which is a JV between SAP, TotalEnergies, Stellantis and Mercedes-Benz is revolutionizing battery technology to accelerate transition to cleaner, greener transport. Strategy & Transformation and engineering teams have been selected to support the launch and upscaling of this Gigafactory. The other example I will mention is in data and analytics, a top bank in the U.S. with petabytes of data spread across several platforms asked Capgemini to modernize and transition their data and analytics to the cloud to improve customer experience and ensuring analytics. The cloud data platform is the essential starting point to address a wide range of challenges such as building better credit, enhancing risk data models, launching AI-enabled customer service advisers and more. So we are definitely driven by creating substantial value for our clients. Now at the end of the first quarter, all the trends come in line with the scenario we had in mind for 2023, which is cutting back as far as Q3 last year. That's why if you remain vigilant to possible market changes to react with agility, we continue to invest in our people and portfolio of skills and offers. We are expanding our capabilities in the technologies and industries to respond to our clients' business needs, we are exploring the most relevant use cases in artificial intelligence through our new Generative AI Lab. And in parallel, we continue to expand our sustainability business through new offerings, training and upskilling our teams on key topics such as net zero strategies, cleantech, circular economy and biodiversity. We are also confident that our growth and margin trajectory is well under control both for 2023 and to reach our medium-term targets. For 2023, the outlook as set in February is a revenue growth of 4% to 7% at constant currency, with 0.5 point scope impact at the bottom line and 1 point at the top end. And after this strong start of the year, we should reach or exceed the midpoint of this range. We also confirm the other targets of an operating margin of 13% to 13.2%, so a 0 to 20 basis point improvement year-on-year, an organic free cash flow around EUR 1.8 billion. We are convinced that the trajectory towards a more digital and sustainable economy cannot be reversed. This twin transition will result in a strong structural demand for years to come. We are well positioned as a business and technology transformation partner of CXOs to leverage the strong growth potential for the group. So thank you for your attention, and I'll now leave the floor to Carole Ferrand, our CFO.
Carole Ferrand: Thank you, Aiman. And let's start with the highlights of the first quarter of 2023. We are pleased to report a strong start to the year. This performance came in above our expectations. Revenues are up 10.9% year-on-year to EUR 5.73 billion. Adjusting for currency impact of 0.2 points, our constant-currency growth reached 10.7% in Q1. After stating for changes in group scope at 0.6 points, our organic growth stands at 10.1%. The FX impact should turn negative by circa 2.5 points in Q2 and same for the full year. I also remind you that we expect a 0.5 to 1 point of M&A contribution for the full year 2023. Let's now look at our revenues by region. Most of our regions brought in double-digit growth at constant currency in Q1. More specifically, the United Kingdom and Ireland regions delivered a strong constant-currency growth of 13.9% driven primarily by the manufacturing and consumer goods sectors while financial services and the public sector remained solid. Revenues in the Rest of Europe region increased 13.8%, supported by double-digit growth in manufacturing, public sector and financial services but also in TMT and energy and utilities. France reported a robust revenue growth of 10.4%, boosted by strong momentum in the Manufacturing, Financial Services, consumer goods and Public Sectors. North America recorded comparatively a moderate growth of 6.1% at constant currency rates. Manufacturing and services sectors were particularly dynamic. However, financial services and consumer goods lagged behind other regions, and the TMT sector experienced a slight contraction. Finally, revenues in Asia Pacific and Latin America increased by 8.4% at constant exchange rates. This momentum now essentially organic was primarily fueled by the Financial Services, Manufacturing and Consumer Goods sectors. Moving now to the revenue by sector. The picture is slightly more contrasted than in the past quarters. At constant currency, Manufacturing remained very dynamic in Q1 with a 16.8% growth, along with the Public Sector, 13.1%. As anticipated, Consumer Goods and Retail and TMT sectors demonstrated a lower momentum than in previous quarters, with growth of 6.8% and 3.1%, respectively, with 9.4% constant-currency growth, financial services didn't see the anticipated deceleration yet, except in North America. Lastly, Services posted a good 10.7% growth with Energy & Utilities maintained its pace of growth at 5.9%. Now let's have a look at our revenues by business line. Strategy & Transformation and Applications & Technology services, both posted double-digit growth of their total revenues at constant currency, plus 15.6% and plus 10.7%, respectively. In the challenging macro environment, clients are prioritizing strategic projects that deliver both short-term value and long-term benefits. Operations & Engineering total revenue grew by 9.2% at constant currency, supported by a solid momentum across the various underlying businesses. A quick look at our bookings now. Bookings amounted to EUR 5.867 billion in Q1, up year-on-year by 6.5% at constant currency. This is a strong performance considering a very demanding comparison basis as bookings were up 26.5% in Q1 of last year. The book of value ratio stands at 1.02, above the average since 2017, which is 0.99. This reflects a demand environment, which remained solid during the past quarter. And finally, a few comments on the headcount evolution. The total headcount reached 357,000 employees at the end of March, up 5% year-on-year. This is marginally lower than at the end of 2022 as the focus in the short term is on productivity gains after a period of high growth and high attrition. The offshore leverage stands at 58%, stable year-on-year. Lastly, as anticipated, the attrition is really coming down in Q1. This brings the last 12 months attrition down by 3.4 points to 22.9% at the end of Q1. With this, I hand over back to Aiman to open the Q&A session.
Aiman Ezzat: Thank you, Carole. [Operator Instructions] Operator, could you please share the instructions?
Operator: [Operator Instructions] And your first question comes from the line of Mohammed Moawalla from Goldman Sachs.
Mohammed Moawalla: Yes. I had -- my first question was just, Aiman, you've talked a lot about sort of decision making and that being the kind of more kind of less predictable element even though the underlying demand dynamics are still kind of there. So I'm just curious if you could give us a sense of the kind of projects where perhaps those sales cycles are kind of lengthening, where you're starting to see perhaps a more kind of unchanged effect? And then my sort of follow-up question is just how should we think of the sort of headcount growth that you did in Q1. Normally in the years, headcount growth tends to be more front loaded. Some of your peers are obviously sort of cutting headcount. So just curious to get a sense of your expectation on headcount evolution this year into the second half?
Aiman Ezzat: So listen, I think what we have to do it and see attitude is really on the large transformation programs, right? Some mid-sized ones, but it's really the large one where we see the delay. So again, the pipeline is actually continues to increase quarter-over-quarter. So the demand or the underlying potential demand in the market remains quite big, and the appetite for clients, of course, around all the transformation required to move to the digital and sustainable economy is still there, but they are delaying some of the decisions by several months. Some of them are proceeding. That's why we see it at some clients. But at some others, we see that holding pattern that basically weighs -- it's going to weigh more and more quarter after to until this uncertainty weight comes out of the market and people feel more confident and then start basically accelerating the decision-making. So that's really what we see today. On the headcount, I did say since Q3 that we will see a couple of quarters of optimization. And I think this is what we have. I mean, for me, we have well anticipated and we start slowing down the recruitment before we saw the slowdown because we expected that to come. So I think we have anticipated properly what we expected to happen. And behind an optimization mode, you have attrition is half of peak right now. So we're able to operate in a much better environment. It doesn't ask us to front load basically a lot of headcounts, and we're able to start working a lot more on the optimization of our utilization, and that's what we're working on. We would resume headcount growth through some time during the year to be able to basically continue to support our growth. So that will happen in due time. But right now, we are still in a mode of optimization. So the last couple of quarters pretty much are flat, from a headcount perspective. And that -- but we still have the capacity to be able to continue to grow the revenue without adding headcount in the short term.
Operator: And your next question comes from the line of Adam Wood from Morgan Stanley.
Adam Wood: Congratulations on a strong start of the year. The question for me is, I remember last year, everyone was pushing you on why you weren't upgrading the guidance for the first quarter. I think you commented on that call that you would never do that at a Q1. I'm not sure whether narrowing the range counts as a formal upgrade. You've obviously indicated more confidence on that. I know the headline numbers are good, but if we look at North America that some time is a leading indicator, the growth was slower there. You mentioned attrition is half the peak and the headcount growth slower, which might lead you to a bit more on the side of caution. Could you maybe just give us a couple of reasons what gives you that confidence on the top line now? What does the pipeline look like? And how much visibility do you have into the rest of the year? And then maybe just versus competitors where, again, as you flagged, the numbers are better, this is a follow-up, do you think this is very different in terms of go-to-market and strategy? Or is there little bit more timing of guidance and exposure to North America that's the difference between you and those main rivals today.
Aiman Ezzat: Okay. Let me start with the second one. Listen, again, you can make the interpretation you want. I mean we have been saying that we have changed our positioning and what we are focusing on that we are going to be more industry focused. We're not just driven by silly moving headcounts. And I do believe this is paying off, that basically our strategy is allowing us to better deploy and take advantage of the opportunity still in the market where clients are looking for real transformation to be able to drive their move towards a digital and sustainable economy. Even if we have some of these large programs, today, which are on hold in terms of decision-making, the pipeline is full. So we know at one moment, this will unlock. And basically, we'll see a re-acceleration in terms of growth. But in the meantime, yes, we see the slowdown link coming from the wait and see that now we see at some clients, plus it is true that some clients on the other side have moved more into cost cutting. So compared to what we saw 2 quarters ago but what we anticipated that we see more consolidation and cost-cutting deals definitely in financial service, but even beyond financial. And you're talking about -- so coming to your first question you're talking, yes, there is some differential rate between North America and Europe. Some of it is linked to the mix. Remember, we are heavier in financial services, and we are heavier in tech and telco in North America, which today basically are slowing down faster as we will see in the coming quarters. But on the other side, we still continue to see no positive traction in North America in a number of other sectors, So for me, we are definitely overall demonstrating a pretty good resilience in a number of our businesses and in a number of our sectors, look at manufacturing, how it's holding up. And I think in manufacturing is doing well, thanks notably to what we do around intelligent industry. So that was part of our strategy is getting deployed, and it's working, and it's paying off. We have pretty strong numbers in Germany still, including the Strategy & Transformation. And that's driven definitely by what we do around the intelligent industry.
Operator: And the next question comes from the line of Amit Harchandani from Citi.
Amit Harchandani: Amit Harchandani from Citi. A question and a follow-up, if I may. So my question is with regards to your comment about relative resilience and intelligent industry. Could you give us a sense for -- or maybe give us a greater detail in terms of what do you think is truly differentiated? Is it what you have done with regards to post Altran that has enabled you to be more strategic? Is it simply the end market or the customers being under pressure to transform? I'm just trying to get a sense for the resilience in manufacturing? And how sustainable do you think it is likely to be as we go through the rest of the year? And my follow-up is, if I understand you correctly, I mean, 8 quarters of double-digit organic growth in this quarter, particularly off tough compares, I get the impression the slowdown in your growth is more a reflection of clients holding back or delays in decisions. And therefore, shouldn't logically then return back to double-digit growth down the road once the decision making picks up again. Is that a fair assumption to make as we think about outlook beyond 2023?
Aiman Ezzat: Thank you, Amit. So on the first one, excuse me, the -- definitely, there is from my perspective, the positioning that has changed. And remember, we have been working on this strategy before the acquisition of Altran, the development of that concept around the intelligent industry, which drove our strategy to make that acquisition and to really focus on that convergence. And I do believe where we are performing well today is because we have leverage at conversion between digital and physical world through engineering brings us the knowledge of the physical world and the digital strength that we have coming from the Capgemini side for the evolution we have done in our portfolio in the last few years. That convergence, I think, is pretty unique in some sectors. And again, remember, we're not on all sectors. We don't say we are top leaders in every sector, but there are a number of sectors today where the convergence is giving us really a leading-edge in terms of being positioned to really deliver the value that the clients can expect. And that's we can call it differentiated. I like more to say that adding more value to clients and basically giving us more traction and giving us more strategic positioning as well because now we are really working on influencing what will drive their future top line and bottom line. On the growth, that's my expectation. My expectation is that we'll see re-acceleration. I think we are well positioned, we see the programs being shaped up at our clients that drive to go towards a digital and sustainable economy is there. They're going to have to make the investment. These investments are going to be in trillions across industries, and we are well positioned to take advantage of that. Now like everybody else, we have to learn to navigate with agility, the economic cycle. Clients in tough times slowdown some of their decision-making, put on hold from large programs waiting for some certainty to come back to be able to drive not all of them. That's why we continue to grow and some of them are still proceeding, but definitely, we do expect that there's going to be a re-acceleration on there start to be more certainty around the economy and direction of the economy, notably the interest rate and inflation, which are today the big topics. That will unlock and speed up the decision making, and we should see a re-acceleration in terms of growth that could help us get back to the double-digit growth.
Operator: And the next question comes from the line of Sven Merkt from Barclays.
Sven Merkt: First, I wanted to follow up on the earlier comments on improving efficiency and utilization. We have seen some decline in utilization this quarter. And therefore, can you comment, please, how we should think about the improvement in utilization from here? And then secondly, on the guidance, you obviously now expect to achieve or exceed the midpoint of the guided growth rate. How should we think about the margin range? Should we see it as you will likely also end up here at or above the midpoint? Or is it a bit too early to say?
Aiman Ezzat: Thank you. Thank you for your two questions. On the utilization, we have restated some of the numbers from last year, so actually utilization should be perceived as flat. But here again, the utilization, you have to look at different components. There is a fresher utilization. There's other. We always load quite a bit on freshers in the Q4, and that has some impact on utilization at the start of the year. But again, when I look at overall, the trends that we are looking for, we should see improving utilization through the year. Remember, 2023 is a year of optimization for us that will basically allow us to optimize our economic model going into 2024 and be a boost not in terms of re-acceleration, around the margin to get us to the 14% by 2025, which we remain quite comfortable with. For this year, to be honest, we're talking about 0 to 20 basis points. So it's a pretty narrow range. The only thing I can tell you that we don't see phasing in terms of that margin, we're comfortable on the fact that we'll see improvement, I mean of the 0 to 20 basis points, both in H1 and H2.
Operator: And your question comes from the line of Toby Ogg, JPMorgan.
Toby Ogg: Just -- firstly, just on the building blocks of the growth. So clearly, as we've discussed the headcount side of the equation, moderates a little bit. And Aiman, you have talked about an optimization of utilization there now becoming more of a focus. Could you just talk about some of the specific levers that you can pull in order to drive that improvement in utilization? And then just a follow-up on that. If the growth is becoming more sort of utilization-driven over the hiring, is there a margin tailwind to consider here that should come with less hiring, recruiting and onboarding costs?
Aiman Ezzat: Okay. Listen, on the utilization. For us, it's simple. It's basically efficiency of deployment of resources, always the same. Of course, when that slowed down in some places, actually, in some places, there's a bit of basically being able to recalibrate and agilely redeploy the resources. This is what we are working on. The second thing, again, I remind, we take quite a lot of young graduates in Q4. In this slow environment, it becomes a little bit more challenging in the short term to deploy them, but definitely through the year, we are able to absorb and reaccelerate around some of these young graduates. So that for me is basically is a thing that we are working on. And again, with a slowing growth and slowdown in attrition, the optimization of utilization becomes easier, of course, to do because we don't have to front end and buffer basically own resources, like we did when you have high growth and high attrition. On the margin, it's already taken into account. So the 0 to 20 basis points is already, how would you say, a very good performance in an environment where we had to absorb when at the beginning of this year, we're taking the full blown impact of all the increases, more expensive resources that we have been onboarding all of last year, plus the salary inflation we onboarded at the beginning of the year. So the margin is already taking into account these efficiencies that we're able to deliver them and that utilization improvement that we'll see through the year. Remember, as I said, the 2023 is an optimization year where we show resilience on the margin, and we prepare for re-acceleration for the next 2 years to be able to get to our 14% in 2025.
Operator: And your next question comes from the line of Laurent Daure from Kepler.
Laurent Daure: Congratulation from my end as well. I have also two questions. So the first one is on the phasing of the rest of the year. I'm asking that because one of your closest competitor has guided to a pretty soft second quarter. And my follow-up is on the offshore penetration. It's very slightly lower than a year back. So is there anything to read in that number?
Aiman Ezzat: Okay. Thank you, Laurent. So listen, on the first one, again, we have to be realistic. We see a slowdown in the second quarter for -- coming from different things. One, you have a higher comparison basis. We grew -- we accelerated in terms of growth between Q2 and Q1 last year. The second thing, it's a continued deceleration that we expect. The third thing, there is a softening on financial services. I mean, again, we're not hiding the fact that we see definitely at least in the [ analyst world ], U.K. and U.S. we see a softening that's accelerating now on Financial Services, as you expect, with the nervousness there is a bit around the -- what's happening in the U.S. So this impact we will see in Q2, and we'll see a deceleration in Q2, it's not the guidance would be -- will be very, very conservative. So yes, the deceleration will continue in Q2 as we expected. On the offshore ratio, remember, the tension -- the area where we had the most tension in terms of resources globally between onshore and offshore was more on the offshore side. So that's also where you have the most optimization potential compared to -- this is where we have buffered more in terms of resources, et cetera, and things like that. So it's normal. And this is also where we see a bit of deceleration -- more deceleration today, and that reduces a little bit the offshore penetration ratio. But if you move forward, as I expect to happen in 2, 3, 4 quarters where when we have the inflection point, the tension on the resources will push for re-acceleration of the offshore penetration, right? So for me, it's something that will reverse probably as soon as we move back into faster growth because the shortage of talent in most western countries is -- will still be there, and it will push more for the global delivery centers, which we are investing more and more now to expand in other countries beyond India to be able to be ready for re-acceleration in the coming quarters.
Operator: And your next question comes from the line of Michael Briest, UBS.
Michael Briest: Just in terms of revenue per employee, it looks like it's up about nearly 3% year-on-year, which given the lower utilization rate is a little puzzling and headcount decline. Can you talk about maybe subcontractor's pricing mix within that? And then the second one is just around the financial services exposure. It's the second biggest market. Can you say how it's broken down between Continental Europe, U.K., U.S.? What it looks like in terms of banking versus insurance, retail banking versus investment banking? Just remind us of what your Financial Services exposure is.
Aiman Ezzat: Yes. So related for employees. Probably one of the most difficult things to read because there are so many variables that are going on at the same time, Michael, just the offshore leverage movement can have a big impact on revenue per employee. The country mix had an impact on revenue per employee. The exchange rates have an impact on revenue per employee. The fresher intake. So it's a -- there are too many variables to do that. I mean pricing is holding up pretty well so far. I mean, again we all know that when we do consolidation, we give some price concessions against volume. And overall, it ends up being accretive, and we cover the margin after 12 months or so. But from my perspective, it's -- in the short term, quarter-by-quarter, even year-on-year, it's very difficult to look at this revenue per employee to read. The subcontractors definitely, we are reducing subcontractors. We know subcontractors increase when growth accelerates, and you have more tension on your resources, and subcontractors reduced typically when you slow down because you leverage more of your resources and you need less subcontractors. So that's normal trends, but it's difficult to be honest to read the -- on that revenue per employee number in the short term. On the financial service exposure, it's a lot of deal that you're asking for, but, what I can tell you to -- just to give you 2 numbers that could be useful. One, it's about 2/3 banking, 1/3 insurance. It has been consistent over many, many, many years. So that's the numbers we have always given and they are still the same numbers. The second thing is that we have higher penetration of financial services outside of Europe than in Europe, okay? So we tend to have higher weight, for example, of financial service in our North American business of APAC and LatAm business that we have in Europe. But again, it's not big differences, but these are the two numbers that I can give you that can help you give some directions.
Michael Briest: And do you have any exposure to regional banks, the ones that are on the Bloomberg screen every day?
Aiman Ezzat: In the U.S. regional banks, we have limited exposure. Limited exposure to U.S. regional impacts.
Operator: And your next question comes from the line of Nicolas David, ODDO BHF.
Nicolas David: The first is a very short term one regarding bookings. Could you give us some color about how they were made in Q1? Are there many made of small deals, which are going to generate revenue very quickly? Or never did you signed some large deals during the quarter, even if you have in terms of wait-and-see attitude? And my second question is more a longer term one is regarding the impact of AI on your business, notably on your back office functions and cost. In your mid-term ambition, did you already factor potential positive impact from that? Or should we expect more positive impact that given the new evolution we have seen recently?
Aiman Ezzat: Thank you, Nicolas. So Olivier, you want to take the bookings question.
Olivier Sevillia: Yes. Can you hear me?
Aiman Ezzat: Yes, we can hear you perfectly.
Olivier Sevillia: Okay. Thank you, Aiman. So I would say, in Q1, compared to Q1 last year, we had fewer very large deals, and our Q1 bookings are going to be somewhat revenue accretive in the short term in the coming quarters. So in other terms, to maybe answer some uncertainty, you may ask, it's not multiyear, very large contracts that are making our Q1 booking success.
Aiman Ezzat: Okay. But in terms of [ being generally ], no, we haven't seen a big evolution. We -- as I said, we have in the pipeline more deals, which are more around consolidation and cost cutting than we had before, but this takes a few months before dicing, but see an evolution of this booking coming from that in the coming quarters because these are not yet closed. But definitely, like in financial services, take the example of financial service, they have definitely slowed down because banks are cutting, but we will see a rebound at some moment we see some of this consolidation deals coming through. On AI, listen, it's a good question. We, like everybody. We're looking at the opportunity. We are currently doing a fairly large transformation of all our finance, HR, resource deployment, et cetera for more agility, more digitization, more efficiency in our operation, which I say will have -- win a few tens of bps of improvement in the coming quarters. But with that Generative AI help us accelerate, I hope it will help us make better decisions and be able to continue to improve efficiency, but I cannot say we have a business case at this stage in terms of the potential impact.
Operator: And your next question comes from the line of Charles Brennan, Jefferies.
Charles Brennan: I was wondering if you could just touch on industry pricing at the moment. some of the private companies that we speak to are beginning to suggest that there's real pricing deflation coming through, so prices are still going up in absolute numbers, but not going up as fast as costs and that's driving real price deflation. Are you seeing that in your markets at the moment? Or is that a trend you expect to see accelerate as the year goes on?
Aiman Ezzat: Thank you, Charles. Listen, on the pricing environment, we haven't seen a fundamental change. In some areas, the people who are cutting costs and basically looking for consolidation, part of the consolidation is to be able to drive some pricing leverage, and that's part of the game. So it took us -- it takes us always a bit of time to be able to recover some of the margin we give away in this pricing deflation, but we benefit from higher growth, bigger revenues that basically more than compensate for that. And of course, in the -- after 12 to 18 months, we do have an incremental benefit as well on the margin side. So -- but do we see an overall deflation in the market? I don't think so. It will come over time probably as we have a compensation cost become more normalized and potentially reduce in some areas. But right now, we don't see a big price deflation overall in the market. And to be frank, in the most demanding areas, the tension remains there. So broadly based, the environment is better. But when you look at the most tense areas, I think it is still tensed for the high-end resources.
Charles Brennan: Perfect. And can I just ask a follow-up on the market environment. You've already had lots of questions here, but you've described the market as being in a wait-and-see mode and yet 6% bookings growth is still pretty decent in that context. Is the wait-and-see comment more on observation about what we should expect for the second quarter bookings? Or did you see a material deceleration? Did March feel materially worse than January?
Aiman Ezzat: Listen, I think our book-to-bill, which remains positive supports the fact that we continue to grow. Remember, there is a deceleration compared to last year, but we continue to grow. So I expect our Q2 book-to-bill to remain positive to continue to support the fact that we continue to grow in the coming quarters.
Operator: We will now take our last question for today, and your last question call from the line of Frederic Boulan, Bank of America.
Frederic Boulan: Going back on the AI question. if you can discuss how you see generative AI impacting your business also from a risk standpoint? Is there any area of the business that could be automated and where we could see down the line some significant pricing pressure? And then on the opportunity side, I mean, you mentioned that lab. So is this something you think down the line can be a revenue stream in an area where clients will need your help to implement in the business?
Aiman Ezzat: Well, listen, our purpose in life is to turn every new technology into a revenue stream. So definitely, we expect that what we're doing around generative AI. And we already have done. I mean, we'll discuss that [indiscernible], but we have done already a number of projects around generative AI and we're working with banks. We're working with companies in pharma, in other places on generative AI even before ChatGPT became popular. So we continue working on that. But it's true that there's an acceleration today driven by the technology, by the platform, by what the tool is being provided by the hyperscalers is becoming more mainstream. So we're able to accelerate the deployment of some of the use cases around generative AI. Now is it an opportunity or risk? For me, it's an opportunity. Remember, the, one of the main issues for me is moving to the digital economy is shortage of talent. So we're very well welcome the fact that with generative AI, we're going to see productivity increase. I don't think it's going to happen overnight, but we're working on coding assistance, et cetera, to be able to increase the productivity. We have seen a number of areas where we can see productivity increase over time and I say, over time, by up to 30%. But on the other side, we have an AI code of ethics, and we have now to integrate as part of that, the potential impact of generative AI. So we have already issued recently after working for them on a couple of months, guidelines internally around how we can use or not use generative AI, under what condition, how we get authorization, et cetera, how do we engage clients around that to also take into account the fact that there are some concerns raised by a number of companies and clients around the use of generative AI. So we are definitely adopting but adopting at a pace, which is reflects the reality of the market. So we don't see it as a threat. I see it's an opportunity. We need to continue to improve productivity to be able to address. I think there's the current shortage that we'll face in the coming years, be able to move to the digital economy. And from my perspective, it's not a question of [indiscernible] I mean, we have been improving productivity over the years, and what we do with the software engineer today compared to what we did 10 years ago, we are much more productive. So that, of course, gets embedded into the pricing, but we still see improvements in terms of margin expansion as we drive more productivity through generative AI. So I see it as an opportunity and not a set if it's properly managed.
Operator: I will now hand the call back for closing remarks.
Aiman Ezzat: Thank you. So thank you for attending this Q1 call. As you see, we are comfortable with the line in terms of what we see in terms of growth for this year and for the also medium-term growth as well as for the margin. And we thank you. We look forward to interacting with you over the coming days and weeks.
Carole Ferrand: Bye-bye.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.